James O'Shaughnessy: Good morning to everybody. We would like to extend a warm welcome to all those attending the presentation of Inditex results for the interim 3 months 2025. I'm James O'Shaughnessy, Investor Relations. This presentation will be hosted by Inditex's CEO, Oscar Garcia Maceiras; as well as by our new Chief Financial Officer, Andres Sanchez; and Gorka García-Tapia, Director of Investor Relations. [Operator Instructions] Before we start, we will take the disclaimer as read. Over to you, Oscar.
Oscar Garcia Maceiras: Good morning, and welcome to our first quarter 2025 results presentation. First, I would like to welcome Andres who will be heading up the finance function as our CFO. Andres has been with the company in the finance department for over 15 years. In the first 3 months of 2025, Inditex has maintained a solid operational performance led by the creativity of our teams and the strong execution of the fully integrated business model. This performance was driven by the 4 key pillars that we have highlighted to you in the past: our strong product offering, a unique customer experience, a keen focus on sustainability and the talent and commitment of our people. These are the principal factors driving our ability to differentiate ourselves so consistently. Our spring/summer collections have been well received by customers. The sales in the period grew 1.5%. Sales in constant currency increased by 4.2%. Adjusted for the impact of the leap year, the sales growth was 5.3%. The business model continues to perform effectively, driving stable gross margins, supported by disciplined cost management. On the bottom line, net income increased by 1% to EUR 1.3 billion. Our positive performance has continued going into the second quarter. Store and online sales in constant currency between the 1st of May and the 9th of June grew 6%. Our diversified presence in 214 markets with low market penetration permits us to leverage significant global growth opportunities. It has been 50 years since Zara opened its first store in A Coruña, Calle de Juan Floréz Zara, a store that has remained open and was recently refurbished. Having reached this relevant milestone, we have complete confidence in our ability to grow our business, mainly because the unique model we operate continues to drive an ever-increasing level of differentiation. And now over to Andres to go over the headline numbers.
Andres Sanchez Iglesias: Thank you, Oscar. I am very pleased to be here today. As you can see from today's financial release, Inditex produced a sound performance in the interim 3 months of 2025. Sales over the period grew by 1.5%. We have managed the supply chain actively, which is evidenced in the robust gross margin performance, illustrating well the flexibility of the business model. Likewise, operating expenses have been rigorously managed over the period, and this has resulted in operating expenses only growing by 2.3%. EBITDA in turn grew 1% to EUR 2.4 billion. Moving down the P&L. We have also seen fair progress on the net income line, with an increase of 1% to EUR 1.3 billion, maintaining a strong level of profitability. We generated a reasonable level of sales growth at plus 1.5% to reach EUR 8.3 billion, that's 4.2% in constant currency. This growth was 5.3% adjusted for the calendar effect of the leap year. Based on current exchange rates, we expect a minus 3% currency impact on sales for the full-year 2025. In the first quarter of 2025, gross profit increased 1.5% to reach EUR 5 billion and clearly illustrates a good execution of the business model over the period. The gross margin reached 60.6%, remarkably stable, once again demonstrating well the flexibility of the business model. Based on current information, we would like to reiterate our gross margin guidance for the year of plus/minus 50 basis points. As you can clearly see, we continue to exercise rigorous control of operating expenses across all departments and business lines. All expense lines have been tightly controlled and show a favorable evolution. Operating expenses increased 2.3%. This cost efficiency contributed to the strong PBT margin of 20.2%. Over the first quarter of the year, we experienced a robust operating performance. Inditex's inventory as of the 30th of April was 6% higher. The end of period inventory is considered to be of high quality. And now over to you, Gorka.
Gorka García-Tapia Yturriaga: Thank you, Andres, and again, welcome on board. Building upon Andres' comments, I would like to reiterate that we are happy with the performance over the first quarter 2025 and with the execution over the period. The optimization of our store footprint remains in place across all markets, be it new store openings, refurbishments, enlargements or absorptions. Inditex has continued with the expansion and has opened stores in 26 different markets around the world. All the concepts, including Zara, continue with exciting new openings. In March, for example, Oysho opened its third store in Paris at Madeleine. In April, Bershka opened its first store in Sweden. In May, Massimo Dutti reopened its flagship in London, Oxford Street, with additional floor space and showcasing its new store look. And Stradivarius continues its expansion in Germany with plans to open 7 new stores throughout this year. Store and online sales continue to be sound, and the overall performance has been pretty good. One of our main priorities continues to be to focus on maximizing our commercial differentiation. In the Strategy section, we'll cover numerous initiatives we've carried out in the period. And with all that in mind, back to you, Oscar.
Oscar Garcia Maceiras: Thank you, Gorka. We keep on strengthening the strategic pillars of our fully integrated business model. As always, our first priority remains to continually increase the appeal of our fashion proposition, creativity, innovation. Design and quality are what drives the success of our collections. We have a clear and strong commitment to this, thanks to our 700 designers and our prototype teams. Every day, they manage a meticulous design process that attends to any small detail of our garments and collections, while striving to provide quality fashion to more and more customers around the world. The focus on an ever more enhanced customer experience comes as a result of the continuous process of upgrading stores with strong architectural features and with highly curated internal spaces. As we mentioned before, our first Zara store opened here in A Coruña 50 years ago and has remained open ever since. Thanks to our unique integrated store and online model, our teams have been able to take advantage of the remarkable growth opportunities we see across all channels, concepts and markets. We keep on executing new openings, enlargements and refurbishments of stores in the best locations, expanding our concepts to new cities and new territories and the launch of new services that enhance the customers' shopping experience. The Zara Nanjing Xinjiekou store, which opened in March, is an example of our fully integrated model. It incorporates all the latest technologies from sorters, self-checkouts, Click & Collect and the Zacaffè concept. The full implementation of the new soft tag technology at Zara is now complete. This is the basis for us to continue deepening the digitalization of the stores and their integration with online platforms in the coming years. Currently, the technology is being rolled out in Bershka and Pull&Bear. Zara.com has commenced offering travel mode to clients in the U.K., Italy and Japan. This will be available soon in Spain, France and Turkey. Thanks to this functionality, traveling clients can receive their online purchases wherever they are staying and access travel tips in cities like London, Rome and Tokyo. At Inditex, we believe in the importance of continuing to offer opportunities to everyone. In April 2025, we launched a new program in partnership with the Asian University for Women to support the academic training of women textile factory workers in Bangladesh through the financing of 50 5-year scholarships. The for&from project for the integration of people with disabilities has continued its expansion. After the recent opening in 2025 of a new store in Mexico City, in the second half of this year, we plan to open new for&from stores in Lisbon and Porto. With these openings, the program will be in 4 markets with 17 stores. We operate in 214 markets with low share in what continues to be a highly fragmented sector, and as I have previously mentioned, we see a strong growth opportunities. In the current year, we are planning investments that will scale our capabilities to obtain efficiencies and increase our competitive differentiation. The growth of annual gross space in the period 2025 to 2026 is expected to be around 5%. Over this same time period, we expect space contribution to sales to be positive in conjunction with the strong evolution of online sales. For 2025, we estimate ordinary capital expenditure of approximately EUR 1.8 billion. We continue to focus the ordinary capital expenditure on our global store base, the online platform and the rollout of technology programs aimed at enhancing the level of integration. The logistics expansion plan, we have already set out, is on track. As already announced for the financial year 2024, the Board of Directors will propose at the Annual General Meeting a dividend increase of 9% to EUR 1.68 per share. The dividend will be made up of 2 equal payments. On the 2nd of May 2025, Inditex made a payment of EUR 0.84 per share. The remainder, EUR 0.84 per share, will be payable on the 3rd of November 2025. Mr. Jose Arnau will leave the Board of Directors once his tenure expires on the 15th of July 2025. Inditex would like to thank him for his important contribution during his many years at the group. The Board will propose the appointment of Mr. Roberto Cibeira, CEO of Pontegadea, as Proprietary Director. I would like to finish with a comment on our current performance. Spring/summer collections continue to be very well received by our customers. Store and online sales in custom currency increased 6% between the 1st of May and the 9th of June 2025 versus the same period in 2024. Thank you all for attending this results presentation. That concludes our presentation for today. We will be happy to answer any questions you may have.
James O'Shaughnessy: [Operator Instructions] The first question goes to Richard Chamberlain from RBC.
Richard B. Chamberlain: Question for me, please, on the gross margin. It was very stable in the first quarter, but I wondered how you're feeling about it for the first half. Often, we see the impacts on gross margin from a slightly softer period of trading in the sort of quarter after rather than the current period. So are you expecting some impact on gross margin in the second quarter? And are you expecting sort of earlier summer sale activity this year in key markets?
Gorka García-Tapia Yturriaga: Thank you, Richard. I mean, with regards to gross margin, I think you can appreciate that over the last few years and despite significant impacts in the supply chain or even in the currency markets, our gross margin has remained remarkably stable. This is related to the consistency, of course, of how we're executing our unique business model, and I think in the presentation, we've talked about what we see the gross margin for the full year as being stable, which for us means plus/minus 50 basis points. I think that would be a reasonable expectation, at least with all of the current available information that we have. So I hope that helps, Richard. Thank you.
James O'Shaughnessy: Thank you. The next question comes from Geoff Lowery from Redburn.
Geoff Lowery: Just 1 question really. I'm thinking about the multiyear investments in logistics and in your platform generally, do you think we're most likely to see those benefits in the sales line or in cost efficiency once they are fully landed?
Oscar Garcia Maceiras: Thank you, Geoff. Well, in 2024, we launched a 2-year logistic expansion plan that, as I have mentioned during the presentation, remains on track. One of the main projects, our distribution center for Zaragoza II, is starting its operations this summer. And there are other projects, including new distribution centers for Bershka and Tempe or relevant upgrades in our existing distribution center. As we explained, when launching the plan, the rationale behind this plan is to be in a position to continue providing our customers with high-quality fashion regardless of channel formats and geography and taking advantage of all the growth opportunities that we continue to see everywhere. Thank you.
James O'Shaughnessy: Thank you. The next question comes from Warwick Okines from BNP Exane.
Alexander Richard Edward Okines: I was wondering if you could talk a bit about the shoe category, particularly at Zara, how many accessory corners do you have in stores? And then just sort of fitting in with Geoff's question, how does the shoe category fit in with the Tempe Logistics expansion program that you just mentioned?
Gorka García-Tapia Yturriaga: Yes. I mean, I think we've talked about in the past that we have in some of the new store looks, for example, some corners dedicated to the shoe category, and I think that that's been performing quite well. And with regards to the logistics plan, I think Oscar was just mentioning before that within that logistics plan, that we have, some of the new distribution centers, you mentioned one specifically for Tempe. However, I just also add the fact that even in our existing logistics centers, for example, over the last few years, they have suffered a lot of upgrades, and that's helped to increase the automization. They all, for example, have silo systems for hanging and folding garments, for example.
James O'Shaughnessy: Thank you, Gorka. The next question comes from James Grzinic from Jefferies.
James Robert Grzinic: Just a quick one, really. Can you give us some sense of the productivity savings that you're seeing in the more recent Zara openings or refreshed stores now that, that soft tag, RFID, is fully enabled, please?
Gorka García-Tapia Yturriaga: Yes. I think it's a great question. I mean, with regards to soft tags, as you know, for example, in Zara, it's completely rolled out. And this year, we're progressing through with Bershka and Pull&Bear. I think that the focus of the soft tags is very much in line with what we're thinking with regards to improving the customer experience. And of course, this is related to self-checkouts, to Click & Collect and also sorters. And I think that we're really seeing that coming through with regards to, for example, the take-up of self-checkouts at some more relevant stores. To give you maybe some color, at group level, the percentage of sales processed at self-checkouts almost doubled during the year last year and reached more than 90% of total transactions in some of our more relevant stores. And I hope that helps you to give a sense of how we're progressing with that.
James O'Shaughnessy: Thank you. The next question comes from Georgina Johanan from JPMorgan.
Georgina Sarah Johanan: Just with regards to the U.S. and the situation now with tariffs and very much appreciate that, of course, it's a single-digit percentage or we estimate single-digit percentage of group sales and so on, so not necessarily material at a group level, but just thinking about the profitability of your U.S. business. And presumably, you are incurring tariffs there already. So can you just talk about some of the potential mitigations that you're considering? And sort of just a bit more color on your strategy there would be really helpful in light of the environment, please?
Gorka García-Tapia Yturriaga: Great. Sure. So I think with regards to tariffs, let me just first set out by saying that the current environment, as you can probably imagine, is difficult to predict, and we're continuously monitoring the situation. I mean I'd highlight, for example, the fact that we feel we have 3 tools at our disposal that help us weather changes in tariff regimes. I think the first one would be the fact that we have such a global presence, and therefore, we have a lot of experience over the last few decades with regards to managing changes in tariff regimes. But also, I think you correctly pointed out, we're highly diversified, not only in sales, but also from the sourcing side of our business. And I think that sets us up in a very good position. And then finally, I think you know our business model quite well that it is quite flexible, and we have sort of that focus on proximity sourcing. I think all of that with regards to the U.S. really helps us out. In any case, I'd say that we see growth opportunities globally, not just in 1 market. We look around in all of the geographies to try to understand where it is that we should be growing, and we're doing everything on a project-by-project basis. So for example, in the U.S., I think in the presentation, we talked about the relocation of our flagship in L.A. to The Grove, and you saw an image there. And we also have, for example, a new store in Boston, Cambridge side. So I think we're continuing with our business as normal, thanks to the unique business model that we have.
James O'Shaughnessy: The next question comes from Sreedhar Mahamkali from UBS.
Sreedhar Mahamkali: Just really noting the point that Zaragoza II becomes live in the summer, does that change anything in terms of the depreciation cost as you go live or any other fixed cost to keep in mind as we sort of model the cost base rest of the year, please, and into next year?
Gorka García-Tapia Yturriaga: Great. Yes. No, I think with regards to the D&A line, first, let me just also mention that you have to consider that we have, for example, the right-of-use assets that are there. And those are, of course, impacted by the length of the contracts of the rental agreements we have that take into account things such as break clauses and interest rate component. So that's a variable component there. I think for 2025, for your models, I think it's difficult to give some guidance for depreciation for the full year. With regards to, for example, the new CapEx program, a couple of things that I can perhaps help to guide you a little bit. The first is consider that we have a lot of work in progress still and you have to consider that, that balance has not yet begun to be depreciated, and we'll see that coming through. But in any case, the CapEx program is focused on logistics centers. And of course, those have a longer useful life than stores, for example. So you have to factor that into your calculations. But then additionally, the reason we always say that it's difficult to give you guidance on this is because we have the D&A related to stores, which is impacted, of course, by the ongoing store optimization program, and that's difficult to give you some guidance on. Thank you.
James O'Shaughnessy: The next question comes from Matthew Clements from Barclays.
Matthew Clements: Please, could you comment on recent reports regarding the European expansion of your Lefties banner, please?
Oscar Garcia Maceiras: Well, thanks for the question. Well, Lefties was founded more than 25 years ago within Zara and covers 3 main segments: women, men and kids wear. It operates the same fully integrated business model with physical stores and online, as the rest of the Inditex concepts, with very similar focus on providing customers with the most up-to-date fashion at prices that are affordable, relying on the same standards of quality and design and with the same group commitments to sustainability. Lefties currently operates in 18 countries, but primarily focused on our heritage markets of Spain and Portugal and to a lesser extent in Mexico. But it's true that more recently, and given the very positive feedback that we are getting from clients, we are testing Lefties in new markets.
James O'Shaughnessy: Thank you, Oscar. We're going to move over to the webcast questions now. We've had a question today on the growth opportunities of the younger concepts like Stradivarius or Bershka.
Oscar Garcia Maceiras: Thanks for the question. In fact, all of our concepts keep on identifying very good opportunities, thanks to our fully integrated model that fosters our capacity of spotting the willingness of customers for having our physical stores in their markets in their cities. As mentioned, Bershka has recently opened its first stores in India and Sweden. Stradivarius, for instance, continues with a very strong growth profile in Germany with plans to open this year 7 stores in the country after only entering the market with physical stores in 2023. Or another example is Oysho, its athleisure proposition is available in stores in Germany and will be in the Netherlands for the first time this year. Of course, in all of these markets, Zara has been operating for many years already and continues to be extremely active with new projects.
James O'Shaughnessy: Thank you, Oscar. That concludes the webcast questions for today.
Oscar Garcia Maceiras: Thank you to all of those participating in the presentation today. For any additional questions you may have, feel free to get in touch with the Investor Relations department. We look forward to welcoming you back in September for the first half 2025 results.